Operator: Good day. My name is Matthew and I will be your conference operator today. At this time, I would like to welcome everyone to the Aptiv Fourth Quarter 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. We would like to request that you limit yourself to asking one question and one follow-up question during the Q&A session. Thank you. Elena Rosman, Vice President of Investor Relations, you may begin your conference.
Elena Rosman: Thank you, Matthew. Good morning and thank you to everyone for joining Aptiv's fourth quarter 2019 earnings conference call. To follow along with today's presentation, our slides can be found at ir.aptiv.com. And consistent with prior calls today's review of our actual and forecasted financials exclude restructuring and other special items and will address the continuing operations of Aptiv. The reconciliations between GAAP and non-GAAP measures for both our Q4 financials as well as our outlook for the first quarter and full year 2020 are included in the back of the presentation and in the earnings press release. Please see slide 2 for a disclosure on forward-looking statements, which reflects Aptiv's current view of future financial performance which may be materially different from our actual performance for reasons that we cite in our Form 10-K and other SEC filings. Joining us today will be Kevin Clark, Aptiv's President and CEO, and Joe Massaro, CFO and Senior Vice President.  With that, I'd like to turn the call over to Kevin Clark.
Kevin Clark: Thanks, Elena. Good morning, everyone. I'm going to begin today's earnings call by providing an overview of our 2019 fourth-quarter and full-year strategic and financial highlights. Joe will then take you through our fourth-quarter and full-year results in more detail as well as provide our financial outlook for 2020. Starting with the fourth quarter, revenues increased 2% to $3.6 billion despite a 7% reduction in global vehicle production, representing 9 points of growth over the underlying market. Operating income and earnings per share totaled $388 million and $1.15 respectively, above the top end of our previous guidance range, due to flow-through on higher volume growth and a lower-than-originally forecasted headwind from the GM labor strike during the quarter, partially offset by weaker exchange rates for the euro and renminbi.  For the full year, revenues totaled $14.4 billion, representing 9 points of growth over the underlying vehicle production, reflecting the strength of our product portfolio, aligned to the safe, green and connected megatrends. Despite declining industry volumes, we had our eighth straight year record new business bookings, reaching $22.1 billion, exceeding 2018's record of $22 billion. Our 2020 outlook further validates the strength of our business strategy and the continuing widening of our competitive moat. Based on near-term customer production schedules as well as the midterm macro and geopolitical environment, we expect mobile vehicle production to decline 3% during the year.  Despite these anticipated production declines, we're forecasting 4% revenue growth, 7 points over the underlying market, highlighting the fact that our business is built outperform in any environment. In summary, we continue to build on our strong track record of execution and innovation and remain focused on delivering the integrated solutions that are making vehicles safer, greener and more connected. Turning to slide 4, our 2019 performance reflects the efforts we've made to further strengthen our through-cycle resiliency, ensuring that we can outperform in a challenging environment, including having a more balanced mix of customer, regional and end market revenues.  Non-customer now represents more than 10% of our annual revenue and we've nearly doubled the percentage of revenues not tied to light vehicle production, from 8% in 2017 to almost 15% in 2019. During the past two years of declining vehicle production, we've also increased the engineering investments necessary to ensure that we have the software, compute vehicle architecture and systems integration capabilities required to help our customers solve their biggest challenges. To help fund our increased investment and the development of these advanced technologies, we continued to reduce our overhead costs, further enhancing the flexibility and competitiveness of our business model.  And we also announced the 50-50 joint venture with Hyundai, which advances the element of production-ready autonomous driving systems, both cost-effectively and at scale, which we now expect to close at the end of the first quarter. Our more sustainable business model is able to convert more income to cash. In 2019, we generated $1.6 billion in cash from operations and increased our free cash flow conversion of net income to 85%, positioning us to continue our track record of value-enhancing capital deployment, both investing in acquisitions and returning almost $650 million of cash to shareholders through share repurchases and dividends. In summary, our ownership mindset reinforces the team's attitude that we're never done and you can expect more of the same in 2020.  Turning to slide 5, fourth quarter new business bookings totaled a record $8.1 billion, bringing the 2019 total to $22.1 billion. Fourth quarter bookings reflected both increased customer sourcing activities and a strong Aptiv win rate.  With the pace of our new business bookings and prospectives, since 2017, the forecast for global vehicle production has actually declined 10%. During the same period, our new business bookings have increased 15%, reflecting our strengthening competitive position across several advanced technologies.  Our Advanced Safety and User Experience segment booked $3.2 billion of new customer awards in the quarter and $7.6 billion for the full year. Our industry-leading capabilities in central compute platforms and sensing and perception systems allows us to deliver smarter, safer and more integrated solutions, both outside the vehicle with active safety, as well in the vehicle through enhanced in-cabin safety and user experience systems. Our Signal and Power Solutions segment had new business bookings totaling $4.9 billion during the quarter and $14.5 billion for the full year, including a second straight year with over $2 billion of high-voltage electrification awards.  Our long track record of increased new business bookings each year validates our ability to leverage the unique brain and nervous system, our software and hardware foundation that enables new features and functions, while optimizing the total system cost of the vehicle, and reinforces our ability to sustain strong above-market growth, underscoring our relevant portfolio aligned to key secular growth trends. Turning to highlights in our Advanced Safety and User Experience segment on slide 6. Sales for the fourth quarter were up 4%, 11 points over market. Continued strong consumer demand for active safety and user experience solutions drove revenue growth of 23% and 3% respectively. As the need for complex software development and systems integration expertise increases, our unique ability to offer highly functional optimized solutions has driven several of our 2019 strategic highlights, including further penetration of existing customers who deployed our scalable satellite architecture platform, helping them democratize active safety solutions across their vehicle lineups. We're also introducing advanced technologies for use in the nascent field of interior sensing, which is expected to grow at a 50% compounded growth rate through 2025, albeit off a relatively low base. During 2019, we were awarded three new programs focused on assessing driver availability and engagement to meet NCAP regulations as well as support partially automated functionality, such as highway pilot and traffic jam assist. During the year, our premium OEM customer awarded us our first zone controller program, representing another step in building the technical and commercial foundation for Aptiv's SVA approach. Lastly, we also launched the first Android infotainment solution with Volvo car. Powered by native Google automotive services in real-time OTA, enabling a best-in-class in-cabin experience, and underscoring Aptiv's leading agile solution development capabilities as well as a partner of choice,. serving as the best bridge between the automotive and the tech industries. Turning to slide 7, active safety penetration in the United States has reached a point where we're beginning to see fatality rates decline as OEMs move from initial Level 0 applications to Level 1 and more advanced Level 2 ADAS applications. Consumers are demanding safer vehicles and OEMs are responding, accelerating the penetration of more advanced ADAS systems across our vehicle lineups, from the premium to the value segments. Underpinning our continued strong growth in new business bookings for ADAS systems has been our ability to provide OEMs with highly reliable scalable platforms, which allow them to deploy advanced ADAS systems more quickly and at a more competitive price level. As OEMs increasingly look to leverage their investments for Level 2, Level 2+ and Level 3 ADAS systems, the growth in our pipeline of new business pursuits is actually accelerating, even while underlying vehicle production schedules declined. Our scalable ADAS solution is unique in the industry and has been very successful in the marketplace, positioning us to enhance our market position in the future. Active safety bookings increased to a record $4.2 billion in 2019 and we're on track to reach over $5 billion in 2020. And we expect our active safety revenues to almost double from $1.3 billion in 2019 to more than $2.5 billion in 2022, significantly outpacing growth of the active safety market as reflected on the chart. As we discussed previously, the accelerated growth in our commercial pipeline for advanced ADAS programs has led to decide to increase our investment in the advanced engineering, customer pursuit and program launch resources necessary to take the opportunity to widen our competitive moat and ensure we position Aptiv to be the leading player in the active safety market. Joe will provide more detail on this investment later in the presentation. Turning to slide 8. Our Signal and Power Solutions segment is focused on next-generation vehicle architectures, including high-speed data and high-power electrical distribution, enabling the advanced technologies that will shape the future of mobility. In the fourth quarter, sales increased 1%, 8 points above market despite the impact of the GM strike, driven by new launches across our electrical distribution and connector product lines. High voltage electrification revenues increased 28% in the quarter, while non-auto revenues were up 26%. Our leadership position in optimized vehicle architectures has positioned us to be the partner of choice for both traditional and new mobility customers as evidenced by our recent high-voltage award with Tesla on the Model Y and the expansion of our low-voltage business on the Model Y and Model 3 in China. Also during 2019, our connection systems business launched an expanded line of automatable modular ethernet connectors, AMEC connectors, capable of handling up to 1 GB of data per second with several global OEM customers. This family of interconnects enables the evolution of modern vehicle architectures, which is necessary to democratize high levels of safety automation with fast and reliable data transfers. Together, these new business bookings underscore our strength in optimizing power and signal distribution for complex architectures, as well as our ability to serve customers globally through consistent engineering and launch execution. Diving deeper into our high voltage electrification product line on slide 9. Our strong pipeline of new business awards reinforces the fact that we're at a significant inflection point in the growth of high voltage electrification. Despite the slowdown in 2019, Chinese new energy vehicle initiative is driving increased powertrain electrification and European OEMs cannot achieve the new, more stringent CO2 targets without the combination of plug-in hybrids and battery electric vehicles. As a result of these factors, we're confident that by 2022, well over 20% of the vehicles produced annually will include an electrified powertrain. And as we've mentioned several times before, our total addressable content per vehicle for the full range of high-voltage alternative, including traditional hybrids, plug-ins and fully electric vehicles, is in the range of 1.5 to 2 times that of a traditional low-voltage vehicle. Our 2019 high-voltage electrification revenues totaled approximately $350 million. That's up almost 40% year-over-year, making it one of our fastest growing product lines. Between now and 2022, OEMs are expected to launch roughly 40 new high-voltage platforms globally, spanning hundreds of nameplates. Based on the value and program launch timing of our new business bookings, product line revenues are expected increased more than threefold to over $1 billion in 2022, representing a 40% compounded growth rate over that time. So, in summary, we're perfectly positioned to continue to increase revenues significantly above underlying vehicle production as we leverage our increasingly differentiated competitive position and continue to benefit from the increased demand for advanced safety solutions, vehicle connectivity and high-voltage electrification. Before I turn it over to Joe on slide 10, I'd like to touch on our recent activities at CES in Las Vegas. As we've done in the past, we hosted a number of customers, partners and investors in our pavilion, featuring our smart vehicle architecture which lowers the total cost of ownership, while enabling the software-defined feature-rich vehicles consumers want. In total, we had nearly 1,000 stakeholder visits and hosted a number of senior executives from our customers, which underscores the increasingly strategic role Aptiv plays in delivering next gen vehicle technologies to our customers. During our many meetings, customers validated the need to streamline and simplify vehicle architectures to both reduce cost and enable the necessary advances in high-voltage electrification and vehicle autonomy. Our SVA centerpiece display highlighted the benefits of Aptiv's unique brain and nervous technology portfolio, with prototypes of new and existing electrical and electronic solutions that allow us to effectively manage and take advantage of the up-integration of the vehicle's compute domains. Our capabilities around the brain and nervous system of the vehicle positions us to serve as a natural consolidator and integrator, efficiently offering the most advanced hardware and software solutions. Customer feedback validated the significant progress we made in 2019, developing the technology stack and feature roadmap for continued SVA development. With that, I'll hand the call over to Joe to take us through the fourth quarter and full-year results and review our outlook for 2020.
Joseph Massaro : Thanks, Kevin. Good morning, everyone. As discussed at the beginning of the presentation, our financial framework aligns with our mission to build a more sustainable business with the ability to outperform in any environment. We remain focused on improving our through-cycle performance by enhancing our industry-leading growth portfolio and flexible cost structure, while investing for future growth and executing on our capital deployment strategy, which I'll cover in more detail in a moment. Starting with our fourth-quarter revenue growth on slide 11, revenues of $3.6 billion were up 2% adjusted in the quarter, totaling 9% growth over market as vehicle production declined 7% in the quarter as expected. Excluding acquisitions, organic growth was 1% or 8% growth over market. And as a reminder, the Winchester interconnect acquisition closed early in the fourth quarter of 2018. Strong launch volume and content gains globally were partially offset by price downs of 1.5% in the quarter, the unfavorable impact of FX and commodities and lower North American volume related to the GM strike. From a regional perspective, North America revenues were down 9% on an adjusted basis and approximately flat excluding the GM strike. European revenues were up 8% adjusted with 14 points of growth over market, driven by the uptick of several active safety and electrification programs.  And lastly, our China adjusted growth was 11% or 12 points of growth over market, driven by strong launch volume across the portfolio. Turning to slide 12, as Kevin indicated, fourth-quarter operating income and EPS were above the high-end of the guidance we provided back in October. EBITDA and operating income of $566 million and $388 million respectively reflected better-than-expected volume growth in both segments, offset by FX and commodity headwinds and the impact of the GM strike, which totaled approximately $80 million in the quarter. Adjusted operating income margin was 10.8% in the quarter. Earnings per share of $1.15 was down 14% reported, but up approximately 7% excluding the GM strike. Moving to the segments on the next slide. For the quarter, Advanced Safety and User Experience revenues grew 4% or 11 points over market, driven by launches and robust growth in active safety, more than offsetting the impact of the planned roll-off of our display audio product line. Operating income margin was 12.2% before the impact of mobility investments, driven by the accretive benefit of volume growth, offset by continued growth related investments in the business. Our mobility spend for the quarter totaled $42 million and $184 million for the year, which was in line with expectations. In summary, another strong year of revenue growth and operating leverage, while investing for future growth in the Advanced Safety and User Experience segment. Turning to Signal and Power Solutions on slide 14. For the fourth quarter, revenues were up 1% adjusted, representing 8% growth over market. Excluding acquisitions, organic growth was flat or 7 points over market, resulting from strong growth in our electrical distribution systems and CV and industrial product lines, partially offset by the unfavorable impact of the GM strike. EBITDA margin was 17.2%, down 90 basis points year-over-year, and operating income margin was 11.8%, down 130 basis points. However, both EBITDA and operating income were up approximately 80 basis points excluding the impact of the GM strike. Given the continued challenging macro landscape heading into 2020, we expect to see continued softening of vehicle production around the world as shown on slide 15. At a global level, we expect vehicle production to be down 3% for the full year, with 4% adjusted revenue growth or 7 points of growth over market. From a regional perspective, let me start with China. We expect vehicle production to decline 3% for the full year, with production down 15% in the first quarter, including the extended New Year's shutdown announced earlier this week. We expect to see stronger growth over market in the first half of China as we lapped the heavy launch cadence we had in the back half of 2019. Turning to North America, we expect vehicle production to decline 1% for the full year as the modest recovery in GM volumes are offset by continued declines in passenger car units and the run-off of our display audio business. Turning to Europe, we expect full year production to decline 4%. However, our pace of double-digit growth over market continues, driven by new program launches in our active safety and high-voltage product lines, as Kevin referenced earlier. Consistent with the last two years, our portfolio of safe, green and connected technologies and balanced regional customer and platform mix will more than offset the negative industry macros again in 2020. Turning to the next slide for our 2020 guidance. For the year, we expect revenue to be in the range of $14.5 billion to $14.9 billion, up 4% at the midpoint despite global vehicle production down 3%, resulting in growth over market of 7%. Operating income is expected to be $1.72 billion at the midpoint, with operating margins increasing 100 basis points when adjusting for FX and commodities. As Kevin mentioned, we expect the automated driving JV to close at the end of Q1. We expect earnings per share in the range of $4.75 to $5.05 per share, up 2% at the midpoint with share count flat year-over-year, a 10% increase before the impact of the equity income losses from the JV. Operating cash flow of $1.75 billion is up 8% year-over-year. Looking at the first quarter, revenue is expected in the range of $3.47 billion to $3.57 billion, up 1% at the midpoint with 6 points of growth over market, given our outlook for global vehicle production down 5% in the quarter. EBITDA and operating income are expected to be $495 million and $315 million at the midpoint respectively and earnings per share are expected be $0.90 at the midpoint. As a reminder, our first quarter outlook reflects the estimated impact of the extended shutdowns in China vehicle production. Despite 2020 representing the third consecutive year of declining vehicle production, our outlook for the year demonstrates the traction we have made improving our through-cycle resiliency with the relevant portfolio of technologies that grow faster than the underlying market at a competitive cost structure, allowing us to grow earnings and cash flow, while continuing to invest in future growth. Turning to the next slide, we thought it'd be helpful to walk revenue, EBITDA and operating income year-over-year for the segments, starting with Advanced Safety and User Experience.  For revenue, we expect growth over market of 7 points, translating into approximately $4.2 billion of revenue in 2020. As growth in active safety revenue more than offsets price downs, FX and the roll-off of our displays and contract manufacturing revenues.  EBITDA and operating margins excluding mobility in both years is expected to be down approximately 200 basis points. Consistent with our prior communications, the outlook for ASUX includes the necessary investments to support the development of advanced technologies, the pipeline of new business pursuits and the volume of new program launches in 2020, demonstrating the benefits of our competitive position and enhancing the opportunity to maximize returns on our investment in the coming years, with continued strong volume growth. Turning to Signal and Power Solutions. We expect growth over market of 6 points, translating into approximately $10.5 billion of revenue in 2020.  Our electrical distribution systems product line continues to be a market leader and is seeing sustainable growth over market from higher content and penetration of Auto 2.0 megatrends. Our connector and cable management product lines, which include auto and industrial interconnects, is expected to grow mid-single digit above market again in 2020.  And high-voltage electrification, including both electrical distribution and connectors, is accretive to both the growth and profitability of SPS, with 50% growth expected in 2020.  Operating margin expansion is expected to be approximately 80 basis points, more than offsetting the unfavorable impact of FX and commodities.  Turning to the next slide and Aptiv overall, you will see the year-over-year walks for revenue and operating income for the full year 2020. For revenue, you see the benefits of our more secular portfolio driving volume growth and more than offsetting price, FX and commodity headwinds. For operating income, you see the benefits of volume growth, partially offset by unfavorable foreign exchange and commodities, primarily the euro and RMB. And the benefits of our performance initiatives derive from our annual manufacturing material sourcing actions that ramp over the course of the year in addition to the benefits of the JV deconsolidation, partially offset by our investments for growth, which I noted earlier. While industry volumes started their decline in 2018, Aptiv has continued to execute its capital deployment strategy, creating meaningful value for shareholders as reflected on slide 20. We have continued investing in the business organically to support our strong bookings growth in faster-growing product lines, such as active safety and electrification, inorganically where we've invested $1.5 billion in acquisitions, like KUM, Winchester and gabocom, which have expanded the geographic and end market diversification of our Signal and Power Solutions business. Lastly, we have returned approximately $1.4 billion to shareholders through share purchases and dividends over this time frame, bringing our total cash return to shareholders to approximately $7 billion since our IPO in 2011. Looking forward, we will continue to maintain a consistent and well balanced approach to capital allocation, aligned to our strategic framework, focusing on reinvesting in our businesses and paying a competitive dividend. Our M&A strategy focuses on transactions that enhance our scalability, accelerate speed to market and also provide access to new markets. And to the extent that we can take advantage of market disconnects, we will continue to be opportunistic in our share buyback and returning cash to shareholders. In summary, we believe effective capital deployment is a major differentiator for Aptiv and an important lever for shareholder value generation. With that, I'd like to hand the call back to Kevin for his closing remarks.
Kevin Clark : Thanks, Joe. I'll wrap up on slide 21 before opening it up for Q&A. 2019 was another great year for Aptiv despite an even more challenging macroenvironment. Our operating performance validated the progress we've made strengthening our through-cycle resiliency by having the right portfolio of advanced technologies enabling the safe, green and connected solutions our customers are increasingly demanding; the right cost structure allowing us to continue to invest in future capabilities, while driving earnings and cash flow growth; and the right people and processes to deliver the innovation and execution that's inherent in our strategy. Looking ahead, the team has never been more confident in our competitive position and our ability to outperform through cycle.  We believe Aptiv is perfectly positioned to continue capitalizing on the key global Auto 2.0 megatrends to drive market share gains, while continuing to improve our cost structure which gives us tremendous confidence in our outlook for 2020 and beyond.  We remain laser focused on both delivering value to our shareholders today, while also strengthening our competitive position in the future, building upon our strong track record of flawless operational execution and value-enhancing capital deployment. As a result, we build a much more predictable and sustainable business, with robust downturn resiliency that's better positioned to perform in any macroenvironment. So, with that, let's open up the line for Q&A. 
Operator: [Operator Instructions]. Your first question comes from the line of Brian Johnson with Barclays. Your line is open.
Brian Johnson: Yes, a couple of things. I have a few questions. But this display roll off of the business, it's not a surprise. We talked about that. But especially in light of all the people selling displays and all the action at CES, could you do two things strategically? Just, one, remind us of when and why you decided to exit that business? And two, when you are still doing user experience, where does that mean you're really focused? Is it hypervisors? Is it software? Is it just the same advanced systems, but outsourcing the screens?
Kevin Clark: Brian, I'll start and then Joe certainly can add to the comment. On the display side or that portion of the display business that we decided that we're going to exit, it's really on the directed buy aspect – that aspect of the commodities. So, the software behind the display, the hypervisor, all of that sort of value add, as well as the domain controller, that's the activity that we're focusing our efforts on.
Brian Johnson: And you still get those without hurting the display part of that?
Kevin Clark: The display part is more often than not – certainly, increasingly it's pass-through or a directed buy from the customer. So, that's the aspect of the display business the we decided that we're going to exit.
Brian Johnson: Okay. As you look in that segment, are there other mature products that would be wound down, and so they're not going after them just as we think about the revenue walk with all the positive trends we need to keep in mind longer term.
Kevin Clark: No. I think from an overall portfolio standpoint, we believe the balance of what we call user experience, which is principally for us infotainment, the software, the hypervisor, again, the domain controller as it relates to cockpit controllers and those sorts of things, it's a very attractive business for us and we have a very strong competitive position.
Brian Johnson: Okay. 
Joseph Massaro: Brian, the leg down in 2020 is about $75 million of display revenue round numbers. 
Brian Johnson: Okay. And is any of that closer to 2021, 2022?
Joseph Massaro: It's really small numbers after that. We finished 2019 a little under $100 million.
Brian Johnson: Okay. Second, around the EU CO2 transition, apart from minus 3% or so of reduction. What are you, A, seeing in terms of production mix between electrified/non-electrified mix? B, how would that change over the year? And then, C, I assume you're fairly fungible between regular wiring, regular wiring plus high voltage for hybrid, regular wiring plus high voltage [indiscernible]. How are you thinking about managing what could be – are you expecting production schedule category volatility and how you're preparing for that?
Kevin Clark: At least based on what we see today, right, we've been on a path for electrification through some period of time. It doesn't mean at the OE level that you could potentially see a disconnect. From our perspective, what we're seeing from a customer schedule standpoint especially in Europe, again, Joe talked about our outlook for revenue growth next year in high voltage, which is north of 50%. It's extremely strong. Can that growth rate – can it jump around quarter to quarter? That will depend upon launch volume or launch activity and where we're annualizing. So, it's possible that you see some fluctuation quarter to quarter. It's quite likely that's not only OEM generated or schedule generated. It's more likely launch generated. And then, the third portion of your question with respect to high-voltage, again, both on the connector side as well as on the wire harness side, we think we're well-positioned in each region to meet demand. And as we said in the past, it's an attractive product portfolio for us. And as you look at our underlying margin structure margin for the SPS business, the margin on that product line is actually higher than the margin on a traditional product line. 
Joseph Massaro: Brian, as we talked about, same plant, same engineers, same supply chain. So, managing volumes will not be overly challenging for that product line.
Brian Johnson: Yeah. Unlike diesel versus gas injectors of a company you used to own, it's not a major reallocation from plant to plant. It's just different staffing in parts of the plant floor if an OEM decides to ramp up hybrids more than EVs or vice versa. Okay, great. I've got lots of other questions, which I'll do follow-up later. Thanks.
Kevin Clark: Thanks.
Operator: Your next question comes from the line of Chris McNally with Evercore. Your line is open.
Chris McNally: Hey, how is it going? I guess, first question people are going to ask about Q1, the weakness. We definitely are starting to hear this from multiple suppliers. You call out China very specifically. Could you just maybe talk about how much you're building in some of the extreme current weakness from things like he virus or is this some of the spillover from excess inventory that we had at the end of 2019?
Joseph Massaro: Chris, I'd say it's more of what we're hearing from delayed startups following the new year. Our schedules are fairly locked; and sort of by the end of December had accounted for any production shifts between Q4 and Q1 from our perspective. So, this is really – we've got customers now that, I'd say, in general are talking about coming back no sooner than February 9 or 10, which is depending on business is anywhere from a week to almost two weeks of delayed production from what we would normally have seen The SPS business tends to go back a little bit earlier in the new year break. So, it's really just adjusting to delayed startup. And it's a fairly fluent situation, as you might imagine. The dislocation of – it's going to be really the dislocation of labor that went home for the holidays and how quickly they can all come back either from a practical perspective or from a government mandate perspective. But that's primarily it. And call that – if you were to look sort of what Q1 year-over-year OI called China, this delayed production may be $15 million or $20 million. Right now, we're expecting to make that up in Q2. So, we don't view this as a full year issue at the moment.  And then, we do have some FX that we've talked about before as we catch up in the first and second quarter to the weaker RMB and euro that happened in the second half of last year. We've got another $20 million in Q1 of FX and commodity impacting the OI line. So, those two items are really everything that's in Q1.
Kevin Clark: Chris, if I can add one thing, I think one item to make sure we're clear that it does not include, if there's a global disruption as a result of the supply chain issues in China, if there's anything meaningful, that's not incorporated into our outlook for the first quarter. So, to Joe's point, it's really focused on the impact in China as it relates to China production.
Chris McNally: Okay. Guys, that's very clear. And just a quick second question on the investment for growth in the EBIT walk and, obviously, the investment in ADAS where the bookings are quite strong. Could you just give us a little bit of color to how much this 50 basis points, let's call it, $70 million – I think on slide 4, you give the 8% of sales going to engineering. How much of that is sort of staff engineering hires that occur in 2020, so that you get some leverage on that 2021, 2022 versus we have to think about this drag going on while your ADAS growth is good? So, how much is the step up for this year versus we have to think about this as a continual drag on the walk going forward?
Kevin Clark: Yeah. I can start, Chris. Again, Joe can certainly comment. Listen, I think it's kind of two things. It's run rate related to the back of last year quite frankly in terms of – we talked about – or I made the comment in my prepared comments with respect to an acceleration of customer opportunities. Clearly, those are things that we've been working on for some period of time. So, it relates to resources associated with the development of technologies, some of which we featured at CES like advancing our radar technology, advancing our algorithm capability, advancing our sensor fusion capability, as well as advancing our – at this point in time – ADAS controller capability, resources associated with the development of that technology and integrating or operating with the customer. And then, lastly, as Joe said, some of it is execution of launch activity. Some portion of it is in the baseline tailwind of 2019, then some step up into 2020. And we wouldn't expect an incremental step up like this based on the opportunities that we see in front of us today in 2021.
Joseph Massaro: I'd agree with that, Chris. This is leverageable spend as we get into the out years. 
Chris McNally: Okay, great. Much appreciated. I'll follow-up with you guys after. Thanks so much.
Joseph Massaro: Thanks, Chris.
Operator: Your next question comes from the line of Dan Galves with Wolfe Research. Your line is open.
Dan Galves: Hey, good morning. Thank you. So, just wanted to ask about the China growth over market. That kind of jumped out at me. Only a couple hundred basis points in 2020, like when this has been running like pretty high kind of into the double digits most of 2019. Can you just talk about some of the reasons behind that? Lear the other day really kind of called out some of the US automaker underperformance in 2020 as a reason for them kind of having a lower growth rate than the market. Just wanted to kind of ask about what's happening there.
Kevin Clark: I'll make the first comment and Joe can go through all the details. Listen, as it relates to OEM mix, we have exposure to some of those customers that have had lower or weaker revenue growth in the China market for the last year or two. So, quite frankly, when you look at 2020, I don't think that story – or we don't think that story is any different. And in 2019, as you know, we had very strong growth over market. Dan, I'd characterize it as just the impact or timing associated with program launches. And in any given quarter or any given year, you see growth relative to market. You can't see swings or adjustments. As you head into 2021, we'd expect that growth over market to return to more normalized levels for us, which tend to be high single, low double digit growth over market.
Joseph Massaro: No, I agree. Fourth quarter was very strong for us. There was a lot of launch activity. So, as we've looked out on 2020, we just assume we lap those launches in Q4 at this point. We don't see launch activity in the back half of the year that would bring us up, Dan. So, we see it coming back on 2021. But from what we'd expect the business to do, as Kevin mentioned, high voltage continued to be very strong in China. Some of the lap launches on are on active safety. But for us, that growth over market doesn't sort of shoot straight every quarter, and I think that's all we're seeing. It's very specific to what we've launched. It's not sort of a broader customer or macro question for us. It's very specific to our launch cadence.
Dan Galves: Got it. And just one other one, as I think about the business a little bit longer term, can you talk about the timing of the launches of some of these higher value scalable active safety L2, L2+ awards? Are you seeing launch activity in the back half of 2020 yet? Or are we waiting till mostly 2021?
Kevin Clark: No. You'll begin to see in 2020 and then each year following that, Dan. So, a significant amount of launch activity, which really reflects that growth rate we talked about, right? It's $1.3 billion to $2.5 billion over the next couple of years. And as I mentioned in our comments, or were mentioned in our comments, we see an opportunity to actually accelerate the growth in the out years, and that's what supports the incremental investment we're talking about this year.
Dan Galves: Great. Thanks a lot, guys.
Operator: Your next question comes from the line of Joe Spak with RBC Capital Markets. Your line is open.
Joe Spak: Thanks. Good morning, everyone. And thanks for all the helpful color on the locks. I guess, on slide 19, if I try to like normalize 2019 margins or pro forma, and I guess, for, let's say, three quarters no mobility, it seems like you're guiding margins pretty flat year-over-year despite the growth. And I get the 60 basis points of investment. You talked about that. I think that's understandable. But it also then implies that, even though you're getting productivity, it might not be fully offsetting some of the price. I know you've taken a lot of action and there's been some tariff mitigation. So, is there something else we need to consider that sort of plugs that algorithm?
Joseph Massaro: Joe, we're close. If you look, adjusted for FX, exclude the JV, we're at about 10 basis points of margin expansion for the year. Our target, as we talked about at investor day last year, was closer to 20 basis points in a flattish market. So, we're at 10 basis points in a down 3% market. So, obviously, we're the type of folks that always want to see more. But there is an element – there is some down vehicle production. We do have to absorb that. There's a lot of other offsets occurring, right? Lot of other projects. So, for us, a 10 basis point in a down 3% production is kind of where we feel like we need the business to be just given the overall investments. And again, when we talked about sort of up 20 basis points in a year, that was much more in a flattish production environment.
Joe Spak: Okay, thanks. Just on AS and UX, we always talk a lot about ADAS and zone controllers. Kevin, I heard you mention three driver monitoring wins. It's not something I've heard you talk a lot about in the past, but it's clearly an important feature going forward, especially since I think it's required for your NCAP. Like, how big is that business? How fast can it grow within active safety? It seems like it's maybe underpenetrated versus the rest of ADAS? Like, what's the margin profile versus…?
Kevin Clark: So, dollars today are extremely small. Market growth rate and our growth rate, extremely fast. So, we think over the next handful of years, market size can get up to $2 billion, Joe. We think we can get to roughly – somewhere between 20% and 40% market share in that market. It dovetails perfectly with what we're doing from an ADAS platform or systems standpoint. It's necessary, to your point, for Euro NCAP.  Just as important, though, it's necessary really to optimize when you think about traffic jam assists, highway assists, highway pilot. Those sorts of activities, you need that technology in the car. So, it's an area that we have a significant amount of focus within the traditional ASUX business.  And when you think about mobility on demand, it's an area where the folks in our AD business are very focused as they look at additional services that they can provide their ridesharing customers. So, we're excited about it, but it's a very small revenue amount today.
Joe Spak: So, then as that grows, presumably that scale similar to just sort of how you talked about other aspects of ADAS in the past as well from a margin perspective?
Kevin Clark: Yeah. That is a margin rate that is in line with what we've talked about ADAS – when ADAS gets to full scale.
Joe Spak: Okay, thank you very much. 
Kevin Clark: Thank you.
Operator: Your next question comes from Emmanuel Rosner with Deutsche Bank. Your line is open.
Emmanuel Rosner: Good morning, everybody. Good morning. So, I wanted to come back to the engineering investments in AS and UX. If I understand your message, there is this large step up, but it's not sort of – that is not expected to keep stepping up this way beyond sort of 2020. Can you just maybe go over – how should we think about the margin profile, the normalized margin profile of that business? It's taking a decent step back ex mobility investment this year. Obviously, you have a longer-term framework from the various investors days for pretty decent amount of margin expansion. So, is it really just a function of that beyond this year's investment, which sort of like go back to this 30 bps or 50 bps of annual margin expansion or are there any other consideration or ADAS is just a…?
Kevin Clark: A couple of comments. First, just to put it into context – listen, we focus on every penny we spend. Our guidance is roughly $2.5 billion in EBITDA in 2020. And our view is, given the number of opportunities that are in front of us, given our competitive position and given the chance to, what we believe, really expand our competitive moat, investing in an additional 70-plus-million-dollars is the smart thing to do near-term and long-term. So, I'm going to start with that. Second, our active safety business today has double-digit operating margins. So, it's a profitable business. As we scale – and I think Joe made the comment that you should view this investment as scalable investment. As we continue to scale, given the nature of this business, given how we structured scalable platforms, our ADAS product line is a product line that ought to have margins well in excess of our traditional kind of where we're running at now, low double-digit operating margins, right? We should get strong software. So, you should see something. From an ADAS standpoint, including both hardware and software, that's in the high teens. So, it's a very, very attractive space for us to play.
Emmanuel Rosner: Okay. That's helpful. And then, I guess, on the -- in S&PS, on the other hand, obviously, extremely strong operating leverage and incremental margins and strong outlook on margin improvement for this year. Can you maybe just walk over some of the drivers of this high incremental margins? I assume electrification being part of the existing footprint is obviously helpful. Anything that's sort of out of the ordinary or can we sort of assume this continues?
Joseph Massaro: I think we're on the trajectory we expect to be on with that business. The team has done a really nice across all the product lines. And I think you hit it on the head. It's important, the high-voltage growth. That's a business that we talked about was – even a relatively small product line that sort of hit segment margins very quickly because of the nature of the business. We really can run that business on the same cost structure as the low voltage.  And then, we're getting benefits of the scale in that business. Again, we got content on one out of every three-and-a-half vehicles manufactured globally. So, even if it's not our active safety system or even our high-voltage system, you tend to see more electrical content going into vehicles globally. So, you've got a healthy tailwind at the back of that business helping with the leverage. So, that's playing out that as expected. Again, when we looked at all of the opportunities in ASUX to invest, the performance in the active safety product line itself, as Kevin mentioned, and where we were with SPS margin expansion, that's really what gave us the confidence to continue to invest in the active business.
Kevin Clark: Yeah. I'd break it down into three big buckets. Share gains in our connection systems business. So, strong growth, as Joe highlighted, right? And as you know, that's an attractive margin profile. Product line execution, so we talked about high-voltage and growth of that particular product area across both our EDS and CS product lines. And then, thirdly, execution especially in the EDS business. Our management team there has done an excellent job, especially in 2019, in terms of just blocking and tackling and operational improvements. I think the best examples there, quite frankly, is China where you know what vehicle production – the decline of vehicle production last year. That China team was able to basically achieve their business plan forecast at much lower volumes. So, the ability to execute on what is a complex manufacturing and supply chain business has translated into the margin improvement that we're talking about. The team there did an outstanding job.
Emmanuel Rosner: Yeah, definitely. Many thanks.
Operator: Your next question comes from the line of John Murphy with Bank of America. Your line is open.
John Murphy: Good morning, guys. Just a first question to follow-up on the incremental $70 million being spent on the active safety side. I would imagine, if this was longer-term R&D, it would be in the JV. So, it's pretty safe to assume that this has real near-term implications for product in this year and probably in the next two to three years? Is that kind of a fair statement?
Joseph Massaro: It is, John. Let me go back. Remember, the JV is really focused on that Level 4 or 5 robo taxi space. So, anything that's Level 2++, Level 3, early-stage Level 4 for consumer fleets, for our normal traditional customers, that stayed with us. So, you're right. This has got an investment across sort of that – what I'd say is really sort of the 2++, 3 type spectrum. And if looked at some of the advanced development Kevin's talked about, that's to make sure we can secure the $5 billion of bookings plus that Kevin mentioned for 2020, continue to grow the business and support the launches of what we're doing currently. So, that's fair.
Kevin Clark: Yeah. I think, John, as we've talked before, the demand for Level 2, Level 2+ and even Level 3 with some OEMs, we're seeing that activity – over the last 12, 18 months, we've seen that activity significantly increase. So, the investment is in response to pursuing those opportunities.
John Murphy: Okay. So, if we could also dovetail that or sort of put the JV next to that, is there any need to step up spending there that you're seeing just that technology is advancing and might be longer dated as opposed to realization? How much sort of financial control do you have on sort of that decision-making process? And if you can just remind us how the cash flow either works or doesn't work between you and that JV.
Kevin Clark: Well, the JV is a separate legal entity. Our partner has three board members. We have three board members. So, we still have a significant amount of control and visibility as it relates to the joint venture's strategy and the direction it's going in. The management team running the joint venture entity is the existing management team from our automated driving business headed by Karl Iagnemma and his team. We haven't finalized numbers at this point in time, but I think given the opportunity and given some of the vehicle capabilities that our partner brings that you should expect a ramp-up in spending as it relates to vehicle validation and vehicle integration.  It's a 50-50 joint venture, obviously. Half of that, from a P&L impact, flows through our P&L. As it relates to cash, Hyundai is putting a $1.6 billion of cash at close. So, our view is that's enough money or enough cash to fund the development and commercialization of the technology over the next several years. Joe?
Joseph Massaro: Yeah. We've talked before about it being sort of enough to fund four to five years. To Kevin's point, as the JV comes together and we start to look at the vehicle capabilities and the commercialization opportunities of Hyundai, it's possible the JV spends more in 2021 and 2022, but certainly would come from the funding from Hyundai. 
John Murphy: But no cash flow from you at all at this point?
Kevin Clark: No. 
Joseph Massaro: No. Not required for the next couple of years.
John Murphy: And then, just lastly, real quickly on SVA. Is there anything that is in the backlog or was still in sort of RFI stage for that? And also, as we think about what you're talking about, growth above market, is there every going to be a period where the Signal and Power actually might have higher outgrowth than Advanced Safety and User Experience? Or was it going to be a facilitator for growth on that side? Just curious if we'll see a flip sometime in 2020 [indiscernible] on that.
Kevin Clark: John, I don't think we'd envision a flip relative to the growth rates you see in ADAS, I think just given the nature of that market, the market opportunity. Having said that, we fingers there's opportunities, especially with the mix of high-voltage and a mix some of the product portfolio that we have in the connection systems business to grow kind of mid-single digits over underlying vehicle production, including both the impact of a non-automotive as well as our automotive connector portfolio. But by and large, it's an enabler of all the software and other items that we're talking about. As it relates to SVA, our view is there's a portion of this SVA activity that has already started with domain centralization and some of the cockpit controllers, the active safety controller, some of the programs that that we've actually already won. With respect to SVA specific and what we showed at CES, we're working today with – we have three advanced development programs with two automotive OEs. Those programs are going to come forward with RFIs or RFQs in the coming months. So, the commercial opportunity, hopefully, we have something to report in terms of business wins this calendar year and revenue shortly thereafter.
John Murphy: Great, thank you very much.
Joseph Massaro: Thanks, John.
Operator: Your next question comes from the line of David Leiker with Baird. Your line is open. 
Erin Welcenbach: Good morning. This is Erin Welcenbach on for David. 
Kevin Clark: Hi, Erin.
Erin Welcenbach: So, my question relates to your ability to drive growth in the non-auto businesses this year. Obviously, you've acquired a number of businesses over the last couple of years from an organic perspective at least. Wondering how the opportunity set is developing and your ability to drive growth even in a declining commercial vehicle market this year.
Kevin Clark: Well, the HellermannTyton business is probably the best business when you think non-auto, overall non-auto. And that's a business that for the last several years, outside of auto, has been growing high-single, low-double digits. And we'd expect it to continue to grow in that sort of a range for the foreseeable future. I think when you look at the other acquisitions we made and given their mix in mill arrow, industrial and some of the other markets, again, those have been solid mid to high-single digit growth rates.
Joseph Massaro: Yeah. That's right. And then, as it relates to commercial vehicle, we're still – just given our just given our relatively low penetration, we're still sort of years away from having a cycle discussion about CV. We still have a lot of content growth opportunities. And it's really sort of a greenfield for when we get into some of the CV markets, particularly around SPS, the connector business, HellermannTyton's focus on CV. So, while it impacts us at some level, we're still able to grow well above CV market at this point. 
Elena Rosman: Yeah. So, Erin, that would equate to low-single digit commercial vehicle revenue growth in a commercial vehicle market that's going to be down high-single digits.
Erin Welcenbach: Great. Thanks for taking my question.
Kevin Clark: Thanks.
Operator: Your last question comes from the line of Dan Levy with Credit Suisse. Your line is open.
Dan Levy: Hi. Good morning. And thanks for squeezing me in. Just had a quick one on the guidance as it relates to the JV deconsolidation. I believe in the past you noted it's EPS neutral. So, just if you can provide some context on the 10% – EPS would've been up 10% before equity income. And also, I see that you have implied performance JV deconsolidation of a 200 bp benefit on margins. So, it's like $290 million. I assume, of that $290 million, that $130 million of that is a non-repeat of the mobility spend? So, just some color on the guidance.
Joseph Massaro: Yeah. You're about right. We've got about round numbers $40 million, 40-plus-million in Q1. And then, on end of Q1 close, about $130 million sort of geography moves down to the equity income line. And then, that will be augmented by the step up in purchasing accounting that the JV has to go through, which will basically make it EPS neutral. So, the way my comments were – EPS growth is about 2% as reported. If you sort of calculated EPS before the equity income effects of the JV, we're up 10%. So, that's the negative EPS impact from the JV coming in at the equity income line. 
Dan Levy: Great, thank you. And then, just lastly, I wanted to ask a more strategic question on the JV. And it's obviously focused on Level 4 technology. But I think one of the benefits you cited in the past is an opportunity to use the learnings and tech to really refine your Level 2+ and your Level 3 product. But this is a JV and you do have a partner. So, to what extent are expectations really aligned with your JV partner as it relates to the JV's focus on purely a Level 4 technology versus your expectation to leverage this JV to improve your Level 2+ and Level 3 product?
Kevin Clark: Yeah. Listen, it's closely aligned. It's very closely aligned. So, we have the opportunity to provide products and services to the joint venture and vice versa. And given our historical relationship and our future relationship, there will continue to be real opportunity to share information, share best practices and, ultimately, we hope at least to create incremental commercializeable opportunities. And that's something that our joint venture partner is very supportive of, as are we. So, that interaction will continue.
Dan Levy: Great. Thank you very much.
Joseph Massaro: Thanks. 
Kevin Clark: Okay. Well, thank you, everyone. We appreciate you joining us for our Q4 earnings call. Have a great day.
Operator: And this concludes today's conference call. You may now disconnect.